Operator: Hello and welcome to the Nokia Fourth Quarter and Full Year 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Matt Shimao, Head of Investor Relations. Sir, you may begin.
Matt Shimao: Ladies and gentlemen, welcome to Nokia’s fourth quarter and full year 2019 conference call. I am Matt Shimao, Head of Nokia Investor Relations. Rajeev Suri, President and CEO of Nokia and Kristian Pullola, CFO of Nokia are here in Espoo with me today. During this call, we will be making forward-looking statements regarding the future 0performance of Nokia and its industry. These statements are predictions that involve risks and uncertainties. Actual results may therefore differ materially from the results we currently expect. Factors that could cause such differences can be both, external such as general economic and industry conditions as well as internal operating factors. We have identified such risks in more detail on Pages 60 through 75 of our 2018 Annual Report on Form 20-F, our financial report for Q4 and full year 2019 issued today as well as our other filings with the U.S. Securities and Exchange Commission. Please note that our results release, the complete interim report with tables and the presentation on our website include non-IFRS results information in addition to the reported results information. Our complete financial report with tables available on our website includes a detailed explanation of the content of the non-IFRS information and reconciliation between the non-IFRS and the reported information. With that, Rajeev over to you.
Rajeev Suri: Thanks, Matt and thanks to all of you for joining. I would like to start my remarks today by talking about the two areas, where we will have a particularly sharp focus this year, executing in mobile access and strengthening cash generation. I will then come back to an overview of our fourth quarter and give you some more color on our results in what we see going forward. Executing in mobile access and strengthening cash generation are the two most pressing issues that we face. Since we announced our third quarter results, we have listened carefully to you, our investors and many other stakeholders. We are committed to improving our performance and based on the feedback we have received are taking steps to provide greater transparency on progress against the commitments that we have made. Before going into the details however, let me make two additional upfront comments. First, despite our strong fourth quarter results, we still have plenty of work to do, particularly in mobile access. We expect to make meaningful progress over the course of the year and as I said a few months ago expect our turnaround to have firmly taken hold by the end of this year. Second, while we are very focused on addressing the areas where we need to improve, we saw robust performance in many other parts of the company in both the fourth quarter and full year 2019. On a full year basis, IP routing continued its strong momentum, gaining significant market share and improving profitability. Nokia Software delivered on its promise with an operating margin that was up sharply from 2018. Nokia Enterprise also delivered exceedingly well, hitting its double-digit sales growth target and considerably outperforming the market. And Nokia Technologies increased its already excellent profitability. While all of this is good, we are well aware of the fact Mobile Access is not performing well. Nokia as a company will struggle to perform well. So, let me turn to that now. To start, let me just be clear about terminology. When I talk about mobile access, I am talking about the combination of our product-focused mobile networks business group and our global services organization. This is the right grouping to look at overall mobile performance given the closed linkage between the two. In our earnings release, we report net sales for mobile access for precisely this reason. Within mobile access, our focus is on four key areas: first, improving profitability through consistent product cost reductions; second, maintaining scale to be competitive; third, enhancing commercial management and deal discipline; and fourth, further strengthening operational performance in services. Let me talk more about each of these topics starting with improving profitability through consistent product cost reductions which are essential to improving our Nokia level gross margins over time. We are highly competitive in 4G and are consistently rated as having the best performing 4G networks in North America, Europe and other parts of the world by third-parties such as RootMetrics, Tutela and others. But as we discussed last quarter, we are facing challenges with high radio product costs in the early stages of 5G. Our teams in mobile networks, procurement and others are working hard to optimize those costs by addressing every possible part of product bill of materials, including semiconductors where a transition to System on Chip is critical. We are making the right progress, but it will take time for those results to show in our financial performance. There is typically about a 6-month lag when a new cost optimized product is shipped and when it starts to impact the financials. Volumes need to increase and deployments need to take place. To address our 5G product cost issues and meet higher performance requirements, we have started rolling out Nokia’s new System on Chip, 5G powered by ReefShark base station portfolio. These new products made up about 10% of our 5G product shipments in Q4 2019 and we expect that number to increase progressively over the course of the year ending at more than 35%. For full year 2021, we would be in the range of 70% and the transition would essentially be complete in 2022. To give you visibility to how we are performing, we will give quarterly updates this year on the percentage of 5G powered by ReefShark base stations chipped and will flag any issues that we see both positive and negative. As of today, we are tracking against our plan and have seen some of our SoC development proceeding slightly ahead of schedule. This is complex work however. So there is always a risk of issues or delays. That said we are now shipping our 5G powered by ReefShark massive MIMO product, which launched at the end of 2019. Volumes will ramp up over the first half of the year as new variants are added and we expect to have a full lineup of 5G powered by ReefShark massive MIMO by the end of the second quarter. New 5G ReefShark-based products will continue to come and we saw the successful tape-out of two new chips in January. As I am sure, many of you know, tape-out is the final step of the design process before chips are sent to be manufactured into engineering samples for product integration and testing. We are also making good progress on the next releases of 5G software with integration and verification, showing improving quality and maturity compared to earlier releases. These efforts are being boosted by added R&D headcount and better productivity. In short, we are tracking well, but there is still plenty of work to do. The second issue I want to discuss is maintaining scale and specifically scale related to mobile radio products. We expect that when all the results are in, Nokia will have a 4G plus 5G market share in the range of 27% for 2019, excluding China. While this means we lost some share in the year in this part of our overall primary addressable market, we expect to stabilize at approximately the same level 27% for 2020. Normal footprint fluctuations of growth are always possible, but we have and expect to continue to have the necessary scale to be competitive. One reason we have that confidence is that our 5G win rate remains strong. This metric factors in customer size and measures how we are doing in converting our end of 2018 4G footprint as well as adding new 5G footprint, where we did not previously have a 4G install base. At the end of the fourth quarter 2019, our 5G win rate was over 100%, excluding China and in the mid 90% range, including China. Reflected in this overall performance, we have seen gains in Korea, Japan and the Middle East offset by some losses, including in limited parts of Europe. In addition, we added two new communication service provider customers, where we do not currently have a 4G footprint. One of those being the publicly announced deal with Vodafone Hutchison Australia, the other is the European operator that is not public. In short, outside of China, our position remains strong with customers where we have an existing 4G base and we have added some new 5G customers as well. As of today, we have 66 5G deal wins and 19 live networks deployed. Pleasingly, we also added two new enterprise 5G customers, including Deutsche Bahn. So that you can track our progress going forward, we will give quarterly updates on our win rate as well as a qualitative view on customer deployments that we are seeing. While the win rate is a good way to look at longer term developments, near-term outcomes will be impacted by things like purchase orders, network rollout timelines, deliveries and customer acceptances. As additional background, three comments. First, we are focused on 4G plus 5G share figures as that is the best way to assess the question of scale and purchasing power. It is also increasingly difficult to disaggregate the two technologies as products like massive MIMO can be used for either one. Second, we are looking at our 4G plus 5G share excluding China given that pursuing share in China presents significant profitability challenges and the market has some unique dynamics. As you know, we are a long-term player in China and have worked hard to meet requirements in the country, including support for the TD-SCDMA standard when no other western vendors stepped up. We will continue to engage with our operator customers in China to support their 5G ambitions, but what we do with them needs to work for Nokia as well. I want to be very clear that we are not backing away from China, but simply executing against a clear strategic goal to improve our overall business mix in the country. This means that we will be prudent in 5G while targeting more attractive opportunities with service providers in core, routing, transport, fixed access and our current 4G business as well as with enterprise and web scale customers. We still expect to be a sizable player in China well into the future and with the procurement rounds still to come, our final position in 5G will only be clear in time. Third, I want to emphasize that if you look at our performance in 2019 against our total primary addressable market, excluding China, we were in line with market growth. The losses in mobile radio that I just mentioned were largely offset by gains in IP routing, optical and mobile packet core. The next focus area in Mobile Access is enhancing commercial management and deal discipline. Over the course of 2019, we have put in place strengthened commercial management processes designed to drive better performance in current contracts and improve outcomes in new ones. Deal decisions now include a sharp focus on cash and return on capital employed metrics, improve contractual terms and formal up-sell commitments as well as our standard revenue and margin requirements. We have also reviewed projects and customers that do not perform to our standard and have identified labors to enable better future outcomes. In some cases, there are projects where we will renegotiate terms and in fact, there are some where we are already doing so. As expected, these new processes have already generated meaningful margin opportunities for Nokia 2020 and we have included these into targets with sales teams and others. Finally, further strengthening operational improvements and services, where as I have noted before, a turnaround is starting to take hold as increase operational discipline and enhance our efforts to manage for margin and cash. I am pleased that we saw progress in our global services operating margin in full year compared to 2018 even if we are still below what we believe we can achieve. I also expect progress to continue in 2020 given better execution although we will have some headwinds given a roughly similar level of network deployment services in 2020 as new 5G builds proceed. Improvements in 2019, particularly in the second half were driven by a number of things, including turnaround of poorly performing projects, strict execution discipline and enforcement of standard delivery models resulting in first-time right network deployments, investments in digitalization and automation driven productivity which are starting to show results, the exit of six low margin managed services deals, tighter control of inventories and strengthen capabilities and new customers and higher margin growth areas. All of this work should be reflected over time in our networks’ gross margin as the drivers and actions I’ve just discussed take hold. So to conclude on mobile access, we will start to provide regular updates on: one, progress on improving 5G product cost through a transition to our 5G powered by ReefShark portfolio; two, a qualitative assessment of progress against our goal to stabilize our 2020 4G plus 5G market share level, excluding China at a similar level of 2019; and three, our 5G win rate which is a good proxy for our longer term 5G market share position. Now, let me turn to our second focus area of strengthening cash generation. We saw solid cash performance in the fourth quarter with a €1.4 billion increase in our net cash position allowing us to end the year with a net cash balance of $1.73 billion. We expect 2020 to be free cash flow positive. As we noted in our third quarter announcement, our Board said that it expects to resume dividend distributions after Nokia’s net cash position rises to approximately $2 billion. Given difficult cash seasonality, we would not expect to reach that level in the first three quarters of this year. Should we exceed the €2 billion level after that point the Board will asses the possibility of proposing a dividend distribution for financial year 2020. In his remarks today, Kristian will give a deeper perspective on the drivers of cash this year where we faced some particular headwinds related to Nokia Technologies and restructuring. We have a structured program in place, including a centralized war room to provide a companywide focus on free cash flow and release of working capital. Project asset optimization strengthened contractual terms with customers and suppliers, and reinforce controls across our supply chain and management of inventory. With the work we did in 2019, we were able to reduce inventories in the fourth quarter to the lowest level since the first quarter of 2018. Going forward, we have further increased the weight of cash targets in the incentives, not just for Nokia senior leaders, but for many on the frontline with customers. We expect this change will ensure that we maintain our momentum in this critical area. Kristian will also talk about how we will adjust our approach to earnings per share guidance, but now let me turn to the fourth quarter where we delivered strong results. While Nokia level constant currency net sales were down, we slightly increased operating margin compared to the same period last year, generated strong free cash flow and increased our net cash balance to €1.73 billion as I said. Despite the generally good performance in the quarter, our networks gross margin is where we faced challenges coming in at 34.2% for Q4 2019 versus 36.3% in Q4 2018. On a full year basis, networks gross margin was 30.6% for 2019 compared to 34.7% in 2018. On a full year 2019 basis, Nokia level net sales were up 1% in constant currency globally and 5% excluding China and our non-IFRS operating margin was down about 1 percentage point versus 2018. We remained on track with cost reduction initiatives relative to our commitment to reduce 2020 costs by €500 million compared to 2018. In 2019, we achieved €200 million of recurring cost savings as expected even when you exclude the savings benefit from the release of employee incentives. We did this despite facing considerable currency exchange headwinds of €125 million. Given that I have already addressed Mobile Access, let me talk briefly about the Q4 performance in our other business groups, starting with IP and Optical Networks or ION. Overall, our momentum in this business was very good, ION’s best quarter ever in terms of both absolute profits and profitability and one of the best as far as sales go. Our FP4 product leadership and IP routing combined with the power of the global Nokia sales channel helped deliver constant currency growth of 6% in the quarter and 12% for the full year, excluding the video business that we are exiting. At a time when the routing market is declining, we are clearly gaining share while also improving profitability. Optical Networks had a good year and fourth quarter. Constant currency Q4 sales rose 16% year-on-year and profitability increased meaningfully for the full year. Even if there is plenty of work still to do, including continuously reducing product costs we can now stay with confidence that we are one of the scale players in Optical. Pleasingly, our leading PSE-3 chipset is shipping in volume and is already being deployed in the first direct optical connection between the USA and Africa with Angola Cables. Next, Nokia Software, where our underlying performance has also been strong. Profitability as I said was very good with full year operating profit that was up sharply by 31% compared to 2018. Software sales were down in the fourth quarter and slightly for the full year on a constant currency basis, but I want to make two points to put those results in context. First, we are a tough compare in the fourth quarter given that the same period in 2018 with Nokia Software’s strongest top line quarter on record. Second, on a full year basis, software grew in every region, except China and India. As you know, we report India as part of the Asia-Pacific region. Overall, I remain confident that the trajectory is in the right direction for our software business. Then Nokia Enterprise, I talked on previous calls about the goal of double-digit growth for full year 2019 and the team delivered that. Constant currency year-on-year net sales growth was 33% in Q4 and 18% for the full the year versus 2018. Q4 and full year 2019 absolute profits and profitability both improved year-on-year. For 2020, we are aiming for double-digit sales growth again. Importantly, for a business and growth mode, we added nearly 40 new customers in Q4, including Microsoft to close at 122 new logos for the year, excellent growth. Two important things for you to consider when assessing our enterprise business: first, we have moved quickly to grow the business from less than 5% of our total revenue to about 7% in 2019. If we maintain our trajectory, I see no reason why we cannot get to 10% and even beyond. Second, while we have been very successful in leveraging our routing and optical portfolios in the enterprise, we are now seeing rapid uptake of our wireless capabilities. We more than doubled the number of private wireless customers in 2019 to around 130 in total and see continued robust demand in the market. Next, Fixed Networks, which continues to face challenges in the market transition from copper to fiber as I have noted before. We saw some initial signs of progress in Q4, including a lower decline rate in constant currency year-on-year sales and strongly improved profitability compared to the first three quarters of the year. On a full year basis, however, the results from fixed were disappointing. We continue to have a sharp focus on costs and have targeted selective expansion in new areas, particularly fixed wireless access, where the pipeline is robust. Finally, even though Nokia Technologies sales were down in both Q4 and full year 2019, profitability remained robust with a 320 basis point increase in operating margin for the full year compared to 2018. Excluding 2018 revenue from our divested digital health business, licensing revenues in 2019 were roughly stable. Our existing license agreements provide us with some near-term stability in this business and as the newer deals come up, we will be adding our strong portfolio of 5G patents into the current licensing package of earlier generations of mobile technology. We believe these new patents have meaningful value for us to tap in the future. With that, let me turn to giving a regional perspective and to first say that we expect that when all the results are in, we will have gained share in our primary addressable market in every region with the exception of China and Asia-Pacific. Asia-Pacific, while very strong in many countries, was impacted by India, more on that in just a moment, where we had a slight decline in share, but we will not be sure of how much until we see all of the operators report their 2019 CapEx. On a constant currency full year 2019 basis, we saw sales increase in Asia-Pacific, Europe, Latin America and North America. Sales were down for the same period in Middle East and Africa by 2%, but that was still a good performance in the context of challenging market dynamics. It is also pleasing to see that we have now been chosen by early adopter operators in the leading 5G markets from Sprint and Verizon in the U.S. to SoftBank in Japan to Korea Telecom in South Korea amongst others in addition to being selected by Orange, France and O2 in the UK. I have already talked in detail about China and would now like to share some more color on North America and India. With 5G deployments progressing in 2019, North America saw 1% constant currency sales growth for the full year despite a 5% constant currency decline in the fourth quarter. Uncertainty related to the announced operator merger where we have a large footprint has continued to present challenges and as I said last quarter, we cannot predict when this situation will be resolved. We ended the year having launched 5G networks in many U.S. markets and expect that progress to continue in 2020. Next, India, which we report as part of the Asia-Pacific region, and which as a country where we have a long history and robust share, as I am sure you know, India’s telecom sector is in the midst of some serious turbulence, a general market slowdown after multiple years of heavy 3G and 4G investments by operators was exacerbated when the Indian Supreme Court recently ruled that operators need to pay large accumulated financial liabilities dating back several years. Like other companies in this market, Nokia is now trying to fully understand the full potential impact of these developments and their impact on customer demand and overall market risk. It is too early to say how the situation will play out, but it is certainly an area that we are watching closely. With that, let me turn the call over to Kristian.
Kristian Pullola: Thank you, Rajeev. I will take a decent approach today than in previous quarters. I will start with cash as this is what we do internally nowadays in all our meetings to remind the organization of the focus needed. I will then continue with a brief summary of our financial results for Nokia Technologies and Group Common and Other then take a look at group level results in Q4 and full year ‘19. And finally, I will quickly provide an update on our cost savings program and close with some remarks on our guidance. Okay, let’s start with our cash performance in Q4. On a sequential basis, Nokia’s net cash increased approximately €1.4 billion to a quarter end balance of approximately €1.7 billion. The higher than expected cash balance was partly driven by lower than expected restructuring cash outflows where approximately €100 million moved from ‘19 to ‘20. Free cash flow was positive €1.4 billion in Q4 primarily driven by operating cash flow which benefited from a solid adjusted net profit, net cash inflows from net working capital and a one-time benefit as a result of settling certain interest rate derivatives. This one-time benefit totaled €190 million, of which €160 million positively impacted free cash flow and €30 million positively impacted cash from financing activities. These inflows were partly offset by outflows related to CapEx, restructuring, cash taxes and our convertible loan to one of our partners. To give a bit deeper – to dive a bit deeper into net working capital, excluding restructuring cash outflows, we generated €320 million from net working capital, primarily driven by a €680 million decrease in inventories as expected. There were two key parts to achieving this. First, our solid Q4 net sales enabled us to reduce our previously existing inventories in accordance with our plans. Secondly, our efforts to optimize our incoming inventories, has kicked in strongly. The team has quickly resumed disciplined execution and we are pleased to see the improvement in our numbers. Offsetting this, receivables increased €360 million mostly driven by seasonality, partly offset by improved collections, including higher sales of receivables. In Q4, we were also able to collect a portion of the overdue receivable from a state owned operator and we expect to collect the remainder in the upcoming quarters. Liabilities were approximately flat as we did not see typical seasonal increases in accounts payable. This was due to a combination of two things: first, already having high inventory levels earlier in the year; and second our successful efforts in improving our inventory management. The strong free cash flow performance in Q4 led to a full year free cash flow that was somewhat negative as expected. While we are showing signs of progress, there is clearly still more work to be done here. We have plans for this and we are making needed changes and will track the execution very closely throughout 2020. As I have explained in the past quarters, the whole Nokia organization has put extensive focus on free cash flow. One area I would like to provide a more clarity around is our cash conversion meaning converting our non-IFRS profits into free cash flow. We are focused on improving our cash conversion over time. We do, however, have two large headwinds in 2020. First, our free cash flow continues to be negatively impacted by restructuring. These outflows amounted to €450 million in ‘19 and are expected to be €550 million in ‘20. Second, while Nokia Technologies business generates a strong operating profit, the annual free cash flow performance can differ significantly from our P&L performance both up and down. This has to do with the structure of some of the agreements, where we receive large prepayments in cash. We put these on our balance sheet and recognized this as net sales over the lifetime of the agreement. Due to these factors, we expect a substantial gap between P&L performance and free cash flow performance in 2020. Of course, over the life of each agreement, the free cash flow performance matches the P&L performance. On the other hand, we expect four tailwinds for our cash conversion in 2020. First, the fact that our CapEx is lower than our depreciation and amortization mainly due to the adoption of IFRS 16; second, our pensions related cash outflows are less than our P&L expenses as we can utilize our pension surpluses to offset cash requirements; third, financial interest where our cash outflows are less than our non-IFRS P&L expenses mainly due to some non-cash expenses related to the interest component of certain customer contract booked in financial interest; and fourth, taxes, where our cash taxes are lower than our non-IFRS P&L taxes due to the utilization of deferred tax assets. The four tailwinds are relatively small in size and as a result, we faced significant overall headwinds when it comes to converting our non-IFRS profits into free cash flow in 2020. Therefore, our positive recurring free cash flow guidance in 2020 is driven by our assumptions of an improvement in net working capital performance as well as improved operational results. These will be partly offset by a larger expected difference in 2020 between profits and free cash flow in Nokia Technologies. Over time, we expect the gap between our non-IFRS net profit and free cash flow to narrow, particularly as our restructuring cash flows decline. Of course, if we signed any new license agreements that include large cash prepayments, our free cash flow performance could be better than our non-IFRS net profit in one quarter or a year and then the gap between our non-IFRS net profit and free cash flow could re-expand. Two final points here. First, a purely accounting topic and this relates to the implementation of IFRS 16, which involves leasing payments. This was implemented at the start of 2019 which means that our ‘18 and ‘19 cash flow statements are not fully comparable. Approximately €220 million of cash outflows that were shown in cash outflows from operating activities in ‘18 are now shown as cash outflows from financing activities. This has a positive impact on our net cash from operating activities and a negative impact on our net cash from financing activities. Also this had a positive impact on our recurring free cash flow calculation in 2019, however, no impact on net cash. Second, FX moves can have a large impact on net cash. Then over to Nokia Technologies where the team finished ‘19 with good results. While Q4 net sales declined 11% year-on-year, this was primarily related to higher one-time sales in the year ago quarter. Excluding these, net sales would have declined slightly year-on-year. Our annualized licensing run-rate continues to be €1.4 billion. From a profitability perspective, Q4 operating margin improved 310 basis points. This was primarily due to lower patent portfolio costs and lower licensing related litigation costs. Moving on to Group Common and Other, net sales declined 11% year-on-year on a constant currency basis as declines in radiofrequency systems, or RFS, were partly offset by growth in Alcatel Submarine Networks, or ASN. In RFS, net sales were negatively impacted by temporary CapEx constraints in North America related to ongoing merger activity as well as the absence of the large customer rollout, which benefited the year ago quarter. In ASN, growth was driven by the ramp up of new projects which are also expected to benefit 2020. ASN closed the year with a very strong order book. The operating loss in Group Common and Other worsened year-on-year reflecting the following four items. First, a negative fluctuation in other income and expenses due to lower gains from our venture fund investments, which benefited the year ago quarter. Second, our continued digitalization investments, as I have explained in recent quarters, we are focused on driving automation and increasing productivity. This resulted in an overall increase in operating expenses of approximately €80 million for the full year ‘19 compared to full year ‘18 shown in Group Common and Other and we expect to continue to invest in digitalization at similar levels in 2020. Third, a higher operating loss in RFS, which are primarily driven by lower net sales and a lower gross margin due to unfavorable regional mix. And fourth, the previous three items were partly offset by higher operating profit in ASN, primarily resulting from lower operating expenses. Then looking at Nokia group level results, net sales were flat in Q4 on a reported basis. That said, we grew 3% excluding the Greater China region, where an increase in competitive intensity, combined with our prudent approach towards deal-making had negative impact on both our networks business as well as on Nokia Software. Our non-IFRS operating profit increased slightly year-on-year as our continued cost saving progress was partly offset by lower gross profit in networks. Financial income and expense was as expense of approximately €340 million for the full year ‘19 and came in below our guidance assumption of €400 million. This was primarily due to lower interest expenses and improved FX results in Q4 ‘19. Taxes for full year ‘19 were slightly better compared to our expectations. Consequently, our results for the full year ‘19 were in line with the revised guidance range that we provided last quarter. Next, a quick update on our cost savings program. 2019 marked a year when we made considerable strong progress on our cost savings initiatives. Excluding the impact of lower incentive accruals, we successfully achieved approximately €200 million recurring cost savings in 2019 as planned. All of which was attributable to operating expenses. As we complete our program in 2020, we expect to drive an additional €300 million cost savings. We believe we have good visibility on achieving these savings. Just as I indicated, lower incentive accruals had a positive impact on our overall results. This was reflected in our group level operating expenses for the full year ‘19 that benefited by approximately €200 million. Therefore, modeling group level operating expenses for 2020 assuming we payout on target annual incentives and assuming we achieve our expected costs savings targets, our non-IFRS operating expenses in 2020 would be approximately €50 million higher than in 2019. On restructuring cash outflows, as I mentioned earlier, we shifted approximately €100 million from ‘19 to ‘20 and now expect cash outflows of approximately €550 million in 2020. Regarding our network equipment swaps, we have now completed this program with an end result of coming in €50 million less than what we originally anticipated. Then turning to our guidance, we have today reiterated our outlook for 2020 non-IFRS diluted EPS operating margin and recurring free cash flow. As Rajeev mentioned, I wanted to touch briefly on our EPS guidance for full year 2020. Our current guidance is for €0.25 plus minus €0.05. We intend on providing updates each quarter on our progress against this range and we will adjust the midpoint accordingly if necessary. We have maintained our guidance this quarter. Please note that we expect 2020 to be back end loaded similar to what we experienced in ‘19 with the majority of operating profit and free cash flow to be generated in the fourth quarter. Finally, I wanted to know two additional risks that we have flagged in our commentary today. First, regarding India where customer demand could weaken and then risk could increase further after the Supreme Court upheld a ruling that telecom companies must pay retroactive license and spectrum fees. This potential impact has not been factored into our outlook for full year 2020. The second risk is regarding the coronavirus and specifically on the potential for temporary disruption, particularly in our supply chain. While our global supply chain helps to mitigate some of the risk, it is a bit too early to tell if this will have a material impact on our business. Needless to say, that we are monitoring the situation closely. In summary, we intend to show progressive signs of improvements over the course of 2020. We clearly have a lot of work ahead of us and we will stay focused to ensure continued solid execution in accordance with our plans. With that, I hand over to Matt for Q&A 
Matt Shimao: Thank you, Kristian. For the Q&A session, please limit yourself to one question only as a courtesy to everyone else in the queue. Carrie, please go ahead.
Operator: [Operator Instructions] The first question will come from Alexander Peterc of Societe Generale CIB.
Alexander Peterc: Yes, good afternoon and thanks for taking my question. Can I come first on your new KPI here, the 35% targets that you have for the 5G powered by ReefShark. Is this target constrained by the supply of SoC components by the timing of supply? Can this improve meaningfully in the course of 2020 I mean is this a minimum or is there any downside risk to this target? Thanks.
Rajeev Suri: Thank you, Alexander. So, the nature of the risk is very conventional rather then unique. We are now executing on a normal SoC development paths with multiple partners instead of only one as we said last time. Yes, there are both internal risks and external risks that we need to track and manage. While I don’t think the timeline can necessarily be accelerated, we have improved our capability to track and manage the risks. We have increased our SoC R&D capacity by about 60% over the past year and we continue ramp up in 2020 so that we can ensure that we have the capability to track and manage both the internal and external risks. And for 2020, we have 3 ReefShark SoCs under development. As I said, 2 of these have been taped out already which is an important milestone. So, while there remains work ahead, this inherently means that some of the overall risk is now in our rearview mirror.
Matt Shimao: Thank you, Alex. Carrie, we will take our next question please.
Operator: The next question will come from David Mulholland of UBS.
David Mulholland: Thanks very much. Just wanted to follow-up a little bit on the last question, obviously you have talked a little bit about working with other suppliers in terms of your ASIC strategy, but can you just help us to understand how does your break down, particularly in the mobile business this year between your own internal developed products manufactured at foundry with third-party providers and how do you still drive differentiation when you are using the third-party, are you giving your own IP going into those products as well or is it more of an off-the-shelf solution?
Rajeev Suri: Yes. Thanks, David. So, our SoC strategy has all along been a bit like this, we specify a custom SoC with a partner. We developed some IP blocks for it. Our SoC partner has developed some IP blocks and then this SoC partner packages the custom SoC for us using our IP blocks, their IP blocks and third-party IP blocks such as ARM processors and the likes and takes the design to foundry. Now, what has changed is that we no longer work with only one supplier, but with two other SoC partners making custom silicon for us in mobile networks and they all have some unique assets be it in RF or baseband. We have also ramped up significantly our own R&D capacity for specification, design and validation of the chips working with SoC partners. When we selected new partners, we also made sure that we select somebody who already has some knowledge and have done work with somebody else. So, it gives us a running start.
Matt Shimao: Thank you, David. Carrie, we will take our next question please.
Operator: The next question is from Tal Liani of Bank of America.
Tal Liani: Hi, guys. First question is just about the coronavirus, so what’s the impact if you see at all? And more importantly, I want to speak about software and about semiconductors, last quarter you spoke about the need for ASIC versus FPGA. You noted it in the prepared remarks you are related to it, would you mind to discuss where you are in the process and how does it help you to bring up gross margins? Thanks.
Kristian Pullola: Yes, I think on the coronavirus as I said, we are monitoring the situation closely. It’s too early to call if this will have a material impact or not if we will be able to mitigate the situation on the other hand, our global supply chain helps us as a starting point here we will update you as we move along here.
Rajeev Suri: And Tal, on the question regarding to System on Chip, so we are transitioning from FPGA to System on Chip and this is the metric that will give you an update and this is that we got to 10% of the 5G product by ReefShark System on Chip portfolio. We started ramping up volumes and that will get to 35% by the end of this year or greater than 35% and then 70% by the end of ‘21 and then this whole thing will be complete about 100% in 2022.
Matt Shimao: Thank you, Tal. Carrie, next question please.
Operator: The next question comes from Richard Kramer of Arete Research.
Richard Kramer: Thanks very much. Rajeev, potentially turning your back on the China RAN market is a very big move given the volumes that historically have been coming out of that market. So, can you talk a little bit more about how you balance having your supply chain there or the R&D efforts? And specifically, what the fate of Nokia Shanghai Bell might be if you decide that the profit pool in RAN there isn’t worth participating in? Thanks very much.
Rajeev Suri: Thanks, Richard. So we are not turning our back on China I want to be very clear about that we are going to change our strategies change our business mix in china right so we want to sell more to web scale players to state-owned enterprises, and with the service provider value the operators we want to change the business mix towards the higher proportion of core routing fixed access naturally begin the game in 4G as well as transport so, increase the business mix with higher margin components on 5G we expect significant profitability challenges again we will look at the case it needs to make sense for us on a three to four year basis and we don’t know yet because the procurement round is yet to come. But overall, I. would say that we will still be a sizable player in china we want to go with the strategy that allows us to increase the business mix in a way that margins are better as well as cash flow is stronger.
Matt Shimao: Thank you, Richard. Carrie, next question please.
Operator: The next question comes from Alexander Duval of Goldman Sachs
Alexander Duval: Yes hi all there Alexander Duval speaking. You are guiding to your overall adjustable market to the group not to grow in 2020 and market share to stay stable being I mean interestingly the Nokia wouldn’t grow given that in 2019 the wireless market actually good its fastest rate for some years with Nokia growing 1% and then now we are still in the early innings of 5G into 2020 and you are talking about a lower market growth rate and implicitly a lower growth rate for Nokia. Does that mean that beyond 2021 there is no further growth for next couple of years for the company?
Rajeev Suri: Thanks Alex. So well number one last year excluding China we grew at a much faster rate closed at 5% and then when it comes to this year the main difference between our previous market outlook and our current market outlook is that we are now presenting these numbers excluding the china market excluding china our views on the market have not changed significantly over the past three months I have already added some color on china then when it comes to the market overall with regards to mobile access we expect that this year it will be a number of operative last couple of years was about lead countries lead operators and lead countries and now it is going to be about 80 to 100 operators trying to roll out 5G at some point this year and next year there will be another 50 to 60 operators dealing with 5G expect that 2021 should be the scale phase majority phase the five year 
Matt Shimao: Thank you, Alex. Carrie, we will take our next question.
Operator: The next question is from Sandeep Deshpande of JPMorgan.
Sandeep Deshpande: Yes hi. My question is regarding Nokia Technologies, I mean over the last couple of years the business has gone up and down but it hasn’t been growing very much are there more contracts that we got in terms of the smart phone vendors or is that all essentially done and now we are waiting for whenever the IOT market happens in Nokia Technology or is there a near term growth driver for Nokia Technology? Thank you.
Kristian Pullola: I think it is fair to say that the majority of the smartphone volume is under license there are still opportunities in the smaller players that we are going after and from a smartphone point of view the next thing will be then the renewals which will then also include the 5G patterns that we have and in general kind of going through the discussion on how devices have become less intelligent than the network more intelligent than because of that there is more value in the connectivity then we are kind of a going after the growth opportunities outside of smartphone’s connected cars is one other devices the second and there the team is making progress landing deals and some of that will take time will involve longer discussions and some of those deals we are going off directly and some of that opportunity we are addressing through the established pattern force in the industry.
Matt Shimao: Thank you, Sandeep. Carrie, we will take our next question please.
Operator: The next question comes from Achal Sultania of Credit Suisse.
Achal Sultania: Yes hi good afternoon. Just trying to understand your comments on China again I guess China revenues are obviously down for you a lot you are saying that ex China, your TAM is flat and you grow in line. So I am just trying to understand if China has the potential to be down again in 2020 for you and can it have an impact on growth assumptions for the networks business, because it’s still about 10% of network sales?
Rajeev Suri: Thanks, Achal. So, it’s hard to predict China at this point, because of the procurement round. It’s gotten delayed. So, we don’t know what the outcome of the procurement round of 5G is the CP1, but I would say that the strategy that I laid out obviously has its longer term strategy, all of it is now going to play out, so, hard to give a sizing of how China will evolve at this point in 2020.
Matt Shimao: Thank you, Achal. Carrie, we will take our next question.
Operator: The next question is from Stefan Slowinski of Exane BNP Paribas.
Stefan Slowinski: Yes, hello. Thank you for taking for taking my question. Just a follow-up on the Technologies business, there was already a gap I guess between the non-IFRS profit in the cash generation over the past few years and what was kept for some of the one-offs and now you are saying that gap is going to increase in 2020? I mean, can you give us an idea of how much, what’s the cash conversation going to be like for the Technologies business? And is that specific to 2020 in terms of timing of contracts? Should we expect that to kind of renormalize in 2021? Thank you.
Kristian Pullola: Yes. So as I said in my prepared remarks, this is a business where we from time-to-time related to some of the contracts receive upfront payments or payments that are weighted towards the earlier years rather than paid equally over the life of the contracts. And that is what is now having an impact on 2020. So the conversion will go down relative to ‘19. And then as I said once we get a phase where there will be renewals than depending on how those new renewals pan out, there might be a uptick or we might actually get then large upfront payments again. Let’s see how those renewals go. I will – I am not in a position to quantify this. We just want to give you the puts and takes in terms of the – what is going to drive cash flow development ‘19 to ‘20. And as I said the drivers there are why do we go from a slightly negative to a positive will have an improvement in profitability, will have an improvement in how we manage our net working capital, but then that will somewhat be offset by then the headwind created by the fact that the cash conversion related to Nokia Technologies is slightly worse in 2020 over ‘19.
Matt Shimao: Thank you, Stefan. Carrie, we will take our next question please.
Operator: The next question is from a Dominik Olszewski of Morgan Stanley.
Dominik Olszewski : Hello, thank you for taking my question. With regards to the useful KPI date you have given on the proportion of shipments on 5G ReefShark. Maybe could you give us some idea or a sensitivity of how if that accelerates at a fast or slower pace than you expect? So versus let us say that’s 85% how that impacts your good margin. Thank you. 
Kristian Pullola: First of all I think it is fair to point out that, when we talk about percentage here it is a shipment based metrics and as a result of that, the financial implications of that will come with a lag over couple of quarters. And of course, if we improve this then will have the product cost improvements coming through earlier and that’s of course, what the team is focused on. 
Matt Shimao: Thank you, Domini. Carrie, next question please.
Operator: The next question is from Paul Silverstein with Cowen.
Paul Silverstein: I appreciate you all for talking the question. With respect to the margin improvement on Mobile Access, how much of the improvement if any is beyond the FPGA to SoC transition? What are the other levers and what is the magnitude if any?
Kristian Pullola: Thank you, Paul. So, the other levers are global services improvement and execution, which has already happened to some degree in 2019 but more needs to continue automation, digitalization, better contract management so on. There is the system-on-chip product cost that we talked about and then there is the better commercial deal discipline, centralized pricing war rooms, exiting some contracts or changing contract terms where there might be the ...
Paul Silverstein: And they all are important.
Kristian Pullola: And they are all important absolutely.
Matt Shimao: Thank you, Paul. Carrie, we will take our next question please.
Operator: The next question is from Sebastien Sztabowicz with Kepler Cheuvreux.
Sebastien Sztabowicz: Hello everyone and thanks for taking my question. Have you quantified the opportunity to swap away the equipment in the core networks in Europe? And, also do you see any opportunity on the RAN market with 35% market share cap potentially on radio access network in Europe for ASIC -- vendor? Thank you.
Kristian Pullola: Sebastien Sztabowicz this is. It is a policymaker to decide we watch the situation closely we are there for our customer when they need us. we have as we said in our conversion rate or the win rate of 5G outside of China it is above 100% we also won a very nice deal in Vodafone Hutchison Australia, which is a sole supplier deal in terms of core yes there is the opportunity in Europe but we will just watch it and we have to be thoughtful about swap costs and things like that in terms of how much share we want to take prudently.
Matt Shimao: Thank you, Sebastien. Carrie, we will take our next question.
Operator: The next question is from Simon Leopold of Raymond James.
Simon Leopold: Thank you very much for taking the question. I wanted to see if may be you could double click on attaching the changes in the mobility business to overall gross margin specifically the effect of declining presumably profitable 4G business as you are making this transition to the system-on-a-chip in 5G how do we think about how material the effect of that would be on overall gross margin through the year? Thank you.
Kristian Pullola: As we have said the more system and chip deliveries we get the better the cost position of the Nokia 5G product is and that will then all other things equal flow through to an improvement in gross margin. With that we will also be able to get -- as we get to scale in 5G to a situation where 5G gross margins in general are at a level that actually the shifting mix from 4G to 5G will have less of an impact on the gross margin development going forward so I am not sure if I understand the question but that is of course what we manage and then as Rajeev said it is about how do we deal discipline get further improvement how do we get improvements through better operational performance services and those things will also then drive gross margins going forward. 
Rajeev Suri: Of course as Simon on mobile access comment and when you step back and say better mix in enterprise and Nokia software and IP routing will also improve gross margins potentially.
Matt Shimao: Thank you, Simon. Carrie, I think we have time for our final question of the day.
Operator: The final question will come from Edward Snyder of Charter Equity 
Edward Snyder: Thanks a lot. Rajeev, I would like to revisit Richard Kramer’s question, I think, correct me if I'm wrong, but he wasn't asking you about leaving China, he was asking maybe about leaving the RAN Market in China which is I think a very valid question given you have already pointed out 60% of the market for this business I mean it is a little confusing on my end because if you rotate to United States but if you look at the lay of the land to many securities T-Mobile and ATT have backed off the discussions with millimeter wave. T-Mobile's going to put 5 TRA has put it on Band 71 which does not require MIMO at all and ATT is talking about putting on FirstNet, which is an established network that may not use MIMO so, I am just curious if you do back out of just of the RAN Market not China completely where do you rotate to gain share especially if the U.S. is it going to be deploying a lot of MIMO Verizon hits a 31 city target but very few sales in many of cities may be a couple of streets and it is struggling to get citing requirement here so can you may be give us a little bit more detail on how that works to keep your costs and your scaling in RAN market competitive if you are not addressing China’s RAN Market? Appreciate it. Thank you.
Kristian Pullola: Thanks Edward. So just quick, in the U.S., there will be low-band build that's starting to be underway now. there will be mid-band that will still take may be a couple of years but the 3.7 to 4.2 CBR etcetera. On the enterprise side, there will be private wireless build, think about utilities, large field area networks. So there are opportunities on the U.S. side, then of course, as I said we expect some 80 to 100 operators starting to rollout 5G in the rest of the world and that’s this year and then next year, we expect another 50 or 60. So it will start to be a scale market in terms of 5G maturity. On China, again, we are not saying we’re backing out of the RAN market we are still there in 4G. We will be prudent in 5G. I do want to point out that even if we say it’s 60% of the global volume it is roughly half of that in terms of revenue market share, i.e., China RAN as a percentage of total market and it’s miniscule in terms of profit contribution over the next three years or so.
Matt Shimao: Thank you, Ed and thank you all for your questions today. I’d now like to turn the call back to Rajeev.
Rajeev Suri: So, thank you, Matt and Kristian and thanks to all of you for your questions. I’d like to close with a couple of brief thoughts. First, I want to say again that we have heard you, our investors and other stakeholders. We are taking steps to give you some better visibility to the work we have underway. And as part of that effort, Nokia will hold a Capital Markets Day for investors in the second half of this year in order to give you a deeper perspective on our strategy and operational progress. Second, despite the challenges we have faced in mobile access, other parts of our business continue to perform well in 2019. We have closed the year demonstrating sustained momentum with product leadership in areas like our FP4 based routing products and made good progress in our strategic growth areas of enterprise and software. Finally, while I believe that 2020 will present its share of challenges, I remain confident that we are taking the right steps to deliver progressive improvement over the course of this year and to position us for a stronger 2021. With that, I will hand the call back over to Matt.
Matt Shimao: Ladies and gentlemen, this concludes our conference call. I would like to remind you that during the conference call today, we have made a number of forward-looking statements that involve risk and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external such as general economics and industry conditions as well as internal operating factors. We have identified these in more detail on Pages 60 through 75 of our 2018 Annual Report on Form 20-F, our financial report for Q4 and full year 2019 issued today as well as our other filings with the U.S. Securities and Exchange Commission. Thank you.
Operator: Thank you. The conference has now concluded. Thank you all for attending today’s presentation. You may now disconnect your lines. Have a great day.